Operator: Ladies and gentlemen, welcome to the Novonesis Full Year Financial Statement for 2024 and Annual Report 2024 Conference Call. I'm Youssef, the Chorus Call operator. [Operator Instructions]. The conference must not be recorded for publication or for broadcast. At this time it's my pleasure to hand over to Tobias Cornelius Björklund. Please go ahead.
Tobias Cornelius Björklund: Thank you very much, operator and welcome, everyone to the Novonesis conference call relating to the full year performance of 2024. My name is Tobias Björklund, and as I said, I'm heading up Investor Relations here at Novonesis. In this call, our CEO, Ester Baiget; and our CFO, Rainer Lehmann will review our pro forma performance for the year as well as the outlook for 2025. Attending today's call we also have Jacob Paulsen, EVP of Food & Beverage Biosolutions; Amy Byrick, EVP of Human Health Biosolutions; Tina Fano, EVP of Planetary Health Biosolutions; and Claus Crone Fuglsang, Chief Scientific Officer. The conference call will take about one hour including Q&A. Please change to the next slide and this is to remind you that the information presented during the call is unaudited and that management may make forward-looking statements. These statements are based on current expectations and beliefs and they involve risks and uncertainties that could cause actual results to differ materially from those described in any forward-looking statement. With that, I will now hand you over to our CEO, Ester Baiget. Ester, please.
Ester Baiget: Thank you. Thank you, Tobias and welcome everyone. Thank you for joining us this morning. Could you please turn to Slide number 3? Thank you. I would like to start off with expressing my sincere gratitude to all of our stakeholders. Thank you to our shareholders for their continued confidence and support. Thank you to our customers and suppliers for their continued partnership. And I really want to extend a special thank you to our incredible employees. Your unwavering commitment and continued focus on customer centricity have been crucial to the success of the integration. I would also like to take this opportunity to say a few words about Jacob. It was announced last Friday, that he has decided to take a role at another company. I am excited for him on this opportunity. However, I'm also sad to see him leave. Jacob has been important to Novonesis and he has been a strong leader of the Food & Beverages business, creating an excellent team around him. We're far ahead in the process to find a replacement and we'll let you know soon in more due course. Jacob, who's sitting here with us in the room, Jacob my sincere thank you to you for your time and for your significant contribution to Novonesis. We will miss you Jacob but also we wish you all the very, very, very, best. With this said let us now look at our performance. This year has been truly remarkable. We successfully brought together two strong organizations to create Novonesis and we're now operating as a unified company. I'm incredibly pleased to say that our performance clearly demonstrates we are delivering on the promises we made. In terms of the integration, we have achieved all the key milestone we're seeking for. We have set the organization and established a unified company culture, while securing that our house is in order. We have maintained a high employee engagement through this transition with a score of 82 and we are well above industry benchmarks. Customer centricity has been a key focus during the integration and we have seamless collaboration across functions allowing us to respond effectively and efficiently to customers' evolving needs. We have successfully positioned Novonesis as the leading biosolutions company. Our innovative solutions and industry expertise differentiates us from competition and we clearly see the increased interest in Novonesis when we're engaging directly with our customers as well as trade shows and industry events. We have made significant progress in unlocking the three-year cost synergy program, achieving already an 80% run rate in the first year. We are on track to realize the full year revenue synergy program of €200 million run rate, with initial contributions expected in 2025 of 1% of the organic sales growth outlook. Our commitment to sustainability is integral to who we are. 80% – 83% of our revenue is documented and aligned to six of the United Nations Sustainable Development Goals. Additionally, we are well on track to deliver our long-term sustainability ambition. Since 2018, we have reduced our Scope 1 and 2 CO2 emissions by 63% and at the same time growing the business by more than 25% for the same period. And 93% of the electricity that we use is from renewable sources. If we now move on the performance for the year, we delivered a strong broad-based organic growth of 8%, driven by a 6% volume increase and a 2% contribution from pricing. Emerging markets were particularly strong, delivering 12% growth for the year. Looking at the fourth quarter specifically, we saw continued broad-based organic sales growth of 7%, also supported by a 2% contribution from pricing. The strong sales growth coupled with cost synergies and operational excellence led to 36.1% pro forma adjusted EBITDA margin for the year, an increase of 2.3 percentage points compared to 2023. Close to 30% of our revenue comes from products launched within the past five years. And in 2024, we launched 45 new products across industries and geographies, solidifying our innovation leadership in biosolutions. With our expertise, with our global reach, with our passionate team, Novonesis is well positioned to lead the way toward a healthier planet and healthier lives. We've consistently delivered on our promises building a robust foundation. Our deep customer focus combined with our R&D and production capabilities prepare us to meet the growing demand for biosolutions. We are pleased with our progress and where we stand, also recognizing that the integration process is a journey. We are continuing to drive synergistic capabilities and we keep focus on business continuity. We are validating and confirming our view of growth acceleration for the next strategy period and we will share this with you in August in relation to the first half year announcement. Two weeks ago, we announced the acquisition of dsm-firmenich part of the Feed Enzyme Alliance, unlocking further value in our core business. We expect to close this deal in the course of 2025 and I am very pleased we will now drive the full value chain in animal solutions, delivering stronger revenue growth and earnings accretion for Novonesis. All in all, 2025 will also be a good year, a year where we expect continued strong growth performance of 5% to 8% which includes around 1-percentage-point negative effect from the decision to exit Russia and Belarus for the legacy Chr. Hansen businesses. Additionally, we expect continued strong earnings development with a 37% to 38% outlook for the adjusted EBITDA margin. With that, we're now ready to drive into the divisional performance in more detail. Could you please start and turn to Slide number 4? Thank you. Food & Health Biosolutions delivered 7% organic sales growth in 2024 and 7% in the fourth quarter. Within Food & Health, Food & Beverages represent 74% of sales and Human Health represents 26%. For 2025, we expect this division to deliver organic sales growth within the same range as for the group, with relatively stronger growth in Human Health. Please turn to Slide number 5. Food & Beverages delivered 8% organic sales growth in 2024. This was mainly driven by volume, while pricing impacted positively in line with the group. Growth was broadly anchored across geographies and subareas and driven mainly by Dairy. The strong growth in Dairy was driven by both fresh dairy and cheese supported by upselling and a strong customer adoption of innovation. Dairy growth was anchored across all regions. China, which is a small part of our Dairy business, saw a slightly negative development, as our innovation momentum was offset by the decline in Chinese dairy market. In fresh dairy, we see an increasing demand for our tailored solutions in the high protein space. Cheese is benefiting from good momentum in conversions and the adoption of solutions for productivity improvements. Baking delivered solid performance and benefited from increased penetration and innovation. Across remaining subareas, we also saw a solid development. Our solutions in Food & Beverages enable customers to reformulate, enable our customers to create better solutions for consumers to enjoy cleaner labels products including less fat, less salt and less sugar. In Plant-based solutions, we have seen a growing momentum during 2024 with an increasing activity with our customers and supported by a strong value proposition in combining both cultures and enzymes for better taste, better texture and healthy nutrients. Looking at the fourth quarter. Organic growth was 6%, driven by Dairy, with both fresh dairy and cheese contributing. Performance across the remaining subareas was solid. Growth in 2025 in Food & Beverages is expected to be driven by all subareas including also a positive impact from synergies. Momentum is expected to continue to be strong and only partially impacted by the exit from certain countries during the second quarter for legacy Chr. Hansen businesses. The exit of those countries is expected to impact full year organic sales growth in Food & Beverages by around three percentage points. Please turn to Slide number 6. Thank you. Human Health delivered 5% organic growth in 2024. We have seen the expected growth acceleration in the second half of 2024 at double-digits where the first half was impacted by a strong comparable from last year. Growth was mainly volume driven with pricing contributed positively. Advanced Protein Solutions contributed strongly and in line with expectations as we continue to scale up production and supply to the anchor customer. Additionally, the sales growth included around 1 percentage point of deferred revenue following the updated contractual agreement. Dietary supplements was flat as the U.S. market growth was muted. We experienced strong growth in Asia-Pacific as we see increased demand for our solutions in this growing market. The women's health and infant nutrition categories showed the strongest growth and HMO faced a high comparable and declined as expected. The fourth quarter delivered 10% organic sales growth. Growth was driven by all segments including a low single-digit amount of deferred revenue. For 2025, growth in Human Health will be driven by a continued positive momentum in Dietary supplements supported by a positive impact from cross-selling synergies and by Advanced Protein Solutions. Deferred revenue will contribute by around one percentage point. Please turn to Slide number 7. Thank you. Planetary Health Biosolutions delivered 9% organic sales growth in 2024 and 7% in the fourth quarter. Household Care represents 35% of the division and Agriculture, Energy & Tech represents 65%. For 2025, we expect this division to deliver organic sales growth within the same range as for the group with relative stronger growth in Agriculture, Energy & Tech. Please turn to Slide number 8. Thank you. Household Care delivered 13% organic sales growth in 2024. Growth was driven by increased penetration and innovation across both emerging and developed markets. Additionally, solid industry volume growth as well as pricing supported the performance. In emerging markets, we benefited from early years' commercial investments, enabling Novonesis to cater for local demand. Developed markets were driven by innovation with a solid impact from the Freshness platformm including also the recently launched Luminous. In the fourth quarter, organic sales increased by 7%. The expected slowdown towards the end of the year materialized to a lesser extent and growth continued to be driven by increased penetration and innovation as well as pricing. Industry volumes were also supportive in the quarter and pricing continued to be solid with innovation also as a driver of growth. During the quarter, we launched one new product, making three in total for 2024. For 2025, we expect growth in Household Care to normalize after a very strong 2024. Key growth drivers continue to be innovation, increased penetration in both developed and emerging markets, continued support from pricing, and industry volume growth. And please turn to Slide number 9. Agriculture, Energy & Tech delivered organic sales growth for 6% in 2024. This was driven by double-digit growth in Energy and supported by both Agriculture and Tech. Growth was driven mainly by volume and pricing also contributed positively, in line with the group. The strong performance in Energy was led by Latin America and India, driven by capacity expansion of corn-based ethanol production and supported by the ramp-up volumes for second-generation ethanol. A solid performance in North America was driven by increased penetration and innovation including ethanol production growth of around 3% according to EIA. Additionally, biodiesel contributed positively, mainly driven by emerging markets. Growth in Agriculture was supported by both Animal and Plant. Solid underlying growth in Animal was impacted by a demanding year-on-year comparable due to order timing, while growth in Plant was impacted by destocking. Tech was driven by bioprocessing including processing aids for biopharma production as well as grain processing. In the fourth quarter, organic sales growth was 6% led by Agriculture and Energy. The drivers for Energy were the same as those for the full year performance. Strong growth in Agriculture was led by Animal with increasing penetration of innovation and growth in Tech was driven by bioprocessing. In the quarter, we launched several exciting solutions across the subareas. And I would like to highlight Eversa Advance, which is one product in a series of innovative solutions accelerating the penetration of enzymes in the production process of biodiesel. For 2025, growth in Agriculture, Energy & Tech is expected across all subareas supported by a positive impact from synergies mainly in Agriculture. Growth is expected to be driven and led by Energy driven by a continued capacity expansion in emerging markets and penetration of innovation in North America. And now let me hand over to Rainer for a review of the 2024 financials and the outlook for 2025. Rainer, please?
Rainer Lehmann: Thank you Ester, and good morning everyone. Also welcome to today's call from my side. Let's turn to Slide number 10. Do please note that all figures presented today have been calculated on a pro forma basis. In 2024, sales grew 8% organically and 5% in reported euro, as currencies gave around 2-percentage-point headwind and divestments impacted growth negatively by around one percentage point. The divestment is related to the merger-driven separation of the lactase enzyme business, which was fully completed in Q4. In the fourth quarter, sales grew by 7% organically and 4% in euro with similar impacts for currencies and M&A as for the year. As you are aware, since the beginning of 2024, we have been applying a hyperinflation cap for our organic sales growth. Without this cap, our organic sales growth for the year would have been roughly 11% and for the fourth quarter, it would have been close to 10%. Let's now have a look at our profitability. The pro forma reported gross margin was 47.4% for the year. When adjusting for the impact of the purchase price allocation, including the onetime inventory step-up from the combination we delivered a gross margin of 56.7%. This is an improvement of 170 basis points year-on-year. Productivity improvements, economies of scale and lower input costs, including the cost of energy led to this improvement, which was particularly true for the second half of the year. Pricing also had a positive impact. The pro forma adjusted EBITDA margin was 36.1%. This was 230 basis points higher than last year and was driven by the improvement in the gross margin of 170 basis points by lower net operating costs, as well as less depreciation and slightly higher other operating income contributing together another 60 basis points. The pro forma adjusted EBIT margin was 22% for the full year. This metric is adjusted for special items and the onetime PPA inventory step-up. Special items amounted to €199 million and included besides the integration and transaction expenses non-cash impairment losses related to the discontinuation of activities in Russia and a few discontinued research and development projects as part of the process to conclude on the merger-related portfolio activities. Additionally, a gain on the divestment of the lactase enzyme business is also included in special items. The diluted adjusted earnings per share was €1.28, a decrease of 15% compared to the year before. If we adjust for the merger-related PPA amortization, the earnings per share was €1.73, an increase of 15% compared to the year before. With this performance, we are already well ahead of our originally anticipated 2025 target that was established in December 2022 when the merger was announced. Cash flow was solid for 2024. Operating cash flow amounted to €1.03 billion, while free cash flow excluding acquisitions was €667.5 million for the year, compared to €459.2 million last year. The year-on-year improvement is driven by the operational performance and lower net investment and is supported by an improvement in working capital. The working capital improvement included the one-off payment in the first half of the year from the anchor customer in Advanced Protein Solutions. With this let us now turn to Slide number 11 to talk about the 2025 outlook. Please note that the outlook and modeling assumptions presented today do not include any impact from the acquisition of dsm-firmenich's part of the Feed Enzyme Alliance, which is expected to close in the course of 2025. The outlook is also based on current levels of global trade tariffs. Based on the performance in 2024 coupled with strong momentum going into 2025, we expect an organic sales growth in the range of 5% to 8% for the year. Excluding impact from the withdrawal from certain countries, we expect the range to be one percentage point higher being then 6% to 9%. Organic sales growth will be driven mainly by volumes and pricing is expected to contribute around one percentage point across both divisions. Sales synergies are included in the outlook and expect -- and are expected to contribute around one percentage point, mainly benefiting the Food & Beverage, Human Health, and Agriculture Energy & Tech areas. Net both divisions are indicated to grow within the group outlook range, including the negative impact from exiting certain countries impacting the Food & Health division. We expect a strong start to the year. This is mainly attributable to the sales momentum, we are experiencing, so far the fact that investments into our cost base will continue to gradually increase throughout the year, and that comparables are lower. Within the first half of the year, we expect the first quarter to be stronger than the second quarter. In addition, the second half of the year, will be impacted by the exit from certain countries, and keep in mind that we are facing here higher comparables as well. The gross margin is expected to continue to develop positively in 2025, driven by lower input costs productivity improvements and economies of scale. The outlook for the adjusted EBITDA margin is expected to be between 37% and 38%, supported by stronger gross margin development and includes the full year effect of the so far achieved cost synergies at an 80% run rate as well as minor contribution from sales synergies. Currencies net will only have a minor positive impact on the margin, using current spot rates versus average rates for 2024. The margin outlook also includes significant investments into the business, as we continue to invest into our commercial presence to support and drive growth, ensuring continued long-term performance and returns. As Ester outlined before, cost synergies are already at an 80% run rate of the three-year cost synergy target of €80 million to €90 million. We're very happy with our progress here. Novonesis Board of Directors will propose a dividend of DKK 4.20 per share, or €0.56 to be approved at the Annual General Meeting. This will be equal to a total dividend payout for the year of DKK 6.2 or €0.83 per share, which is equal to what we paid out in dividends last year. The total payout ratio is slightly higher than the policy of a full year dividend payout ratio between 40% to 60% of adjusted net profit. For modeling purposes for 2025, current spot currency rates are benefiting euro sales by a good percentage point. And as said before, the impact on the adjusted EBITDA margin is minor. We expect around €30 million in special items in 2025, related to the combination and initial expenses related to the implementation of a new SAP system. Net financials are expected to be around €80 million and a normalized tax -- effective tax rate of around 24% is a good assumption for 2025. We're not only reinvesting in our operational capabilities, but we are also investing in additional CapEx to meet increasing demand for our solutions. We expect to invest between 10% to 12% of sales, mainly in expansion projects supporting long-term growth and efficiencies. Net debt-to-EBITDA is expected to be around one, which is below the indicated level of 1.3 times to 1.7 times. Please note though, that the acquisition of dsm-firmenich's share of the Feed Enzyme Alliance is fully debt financed and adds €1.5 billion to net debt when the deal closes in the course of 2025, and therefore will add one turn to the leverage. We expect our strong cash generation to allow for deleveraging to the current target range of 1.3 times to 1.7 times net debt/EBITDA, within the next two years. Additionally, the Board of Directors has approved initiation of a 2025 share buyback program, at a total value of €100 million, mainly in order to be able to satisfy long-term incentive programs. We are comfortable with the 2025 outlook, despite the global uncertainties around us. We're in a good place, with room to expand our footprint to support a stronger future for Novonesis. With this, I hand over to you Ester, again. Ester?
Ester Baiget: Thank you very much, Rainer. Please -- could you please turn to Slide number 12? Thank you. Let me summarize our message here today. We delivered a strong and broad-based 8% organic sales growth for the year. Novonesis' diverse portfolio of innovative biosolutions, broad market reach and unique scalable production setup capabilities drives the performance. Momentum continues to be solid with a strong start of the year. We expect a broad-based 5% to 8% organic sales growth, which is mainly volume driven with continued positive pricing across both divisions. We have taken also the active decision to exit certain countries. And if we would exclude the impact of that, organic growth for the year would be 6% to 9%. We delivered an adjusted EBITDA margin of 36.1% in 2024 and with stronger sales growth and cost and sales synergies materializing margins follow suit. For 2025, we expect between 37% and 38% adjusted EBITDA margin, driven by multiple positive factors, while leaving room for significant reinvestments to support the performance for the business. We continue to focus on prioritization. This is key to our success, as opportunities are plenty. Our focus is on selecting the opportunities with the highest growth potential and with the highest return profile and we will continue to do exactly this, by allocating the resources and efforts to where they matter the most driving value for our customers and the stakeholders and our shareholders. And with that we're now ready to open for the Q&A. Operator please?
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Alex Jones from Bank of America. Please go ahead.
Alex Jones: Thank you. Good morning. Two questions, if I can please. The first on the revenue synergies. Ester, you talked about continued confidence in hitting the €200 million target. Could you expand a little bit on that give us an idea of how much visibility you have and whether there's any figures you can give on the size of the synergy pipeline whether that's risked or unrisked at this stage? And then the second on the margin. You're talking about reinvesting in the commercial organization in markets and geographies where you see particular growth potential. Could you give us a little more detail on which areas in particular you're investing in at the moment and into 2025 and how quickly you'd expect that to pay off in terms of faster growth? Thank you.
Ester Baiget: Excellent. Thank you, Alex. I love these questions because they give robust and trust on the exciting future ahead of us. On the revenue synergies, let me start answering on that and then bring it back also invite into the room all Amy, Tina and Jacob. There is several aspects that give me the comfort on the €200 million run rate and that we are in a good track. First, we already see the results. The very, very -- I mean this is the most important. We see since day one, the pull from our customers, the curiosity and the eagerness to gather the cross-fertilization of the synergies and we already see sales, the seeds and the fruits already in place. We see that in Dairy, in high protein. We see that bringing enzymes and bringing even better solutions for Plant-based for Dairy and Food & Beverages fertilization of the -- cross-fertilization of the solutions that we have from Chr. Hansen in our broader portfolio. We see that in silage. We see that in Human Health. We see those solutions already and those synergies in place. We have in the plan for 2025, 1% of the growth. 1% of this beautiful 5% to 8% is going to come from the fruit and the impact of those synergies contributing into growth. And then we see the healthiness of the pipeline of the cross-fertilization of the gross synergies leading to the €200 million. And we already see the very nice momentum in R&D for the accelerated long term from the new fruits of innovation that we -- you'll have to wait a little bit more on the outcome of those ones to materialize, but it's really well on traction. So that's the first one and I will let then my colleagues here to build up. And also, then put further color on the investments that we're making. We are a growth company and growth companies they need to continue to invest. And one of the -- and Rainer mentioned, we're going to continue to invest on CapEx and to bring the capability to produce and debottleneck and investments on how to continue to supply those solutions in the market beyond the efforts on productivity and we're going to continue to invest in our most precious asset, which is people. Particularly in commercial, we're creating customer co-creation capabilities across all fronts, especially in emerging geographies where we continue to bring in the space on how we stay closer to our customers for tailor-made solutions, and bring the capability to create powder labs in emerging geographies on how we are developing solutions or how we are doing the same across the -- in Food & Beverages and creating those capabilities in place. But I'll pause here and I'll lead the -- Jacob if you want to start and then Amy and then Tina put a little bit more color.
Jacob Paulsen: Yeah, I can start. So, overall I've always been a true believer of bringing these two companies together. And it's clear that we can see it right now, because all the synergies are coming through. We are mobilizing already this year around a number of exciting opportunities and then we are definitely going to unlock additional over the following years. Some of the things we're doing is taking the expertise of enzymes into the broader Dairy player and customers bring synergies. We are combining our activities in brewing. We are combining our activities in plant-based, a number of things where we already see we are winning substantial opportunities with customers and we are building a strong pipeline. Then also we are combining our teams around the world, bringing a stronger scale. And as Ester mentioned, we are adding additional capacity of co-creation application resources frontline people. And we can see that just around New Year here, we will expand our direct presence with several hundred more customers, which is going to generate growth on the combined sales force. So I'm very optimistic about the outlook for our combined sales synergies.
Amy Byrick: Sure. Maybe if I can just build on that. I mean, I think one of the key areas that we see as a driver for outperforming market growth next year, and also -- on the synergies is our Strain to Solution capabilities. So our ability to combine strains to make unique customer products and customized solutions. And just as a reference, we actually launched more than 100 customized products in 2024 and we are scaling our capabilities and that's actually one of our key areas of commercial investment is in the ability to continue to scale and grow that capability to launch even more as we go forward and that will support our base business, as well as obviously synergy projects combining strains from both legacy companies to create customized solutions working with our customers. So our main investments are that Strain to Solution customization engine scaling that for growth and then also in frontline sales capabilities with a particular focus on North America and China.
Tina Fano: And I can add on the animal and plant side. Just, for example, on the animal silage solutions where we have chosen to add-in further commercial sales force in order to accelerate the growth of these solutions. This is for example in Latin America and North America. And then also as an example in the Plant space, we had a quite strong presence from the legacy Novozymes site in India as an example. And there we are testing and pushing also some of the legacy Hansen solution in order to benefit from the scale we are having from both legacies and, thereby, further accelerate also in plant and animal. Thank you, much. Next question please.
Operator: The next question comes from the line of Søren Samsøe from SEB. Please go ahead.
Søren Samsøe: Yes. Good morning, everyone. So first question on your comment that the year will be front-end loaded. Maybe if you can just elaborate on what divisions will mainly drive this? And then second question was on the pricing in Household Care, if you can give us the impact of pricing in Q4? And then finally what level of productivity gains have you assumed in your margin guidance in 2025? Thanks.
Ester Baiget: Thank you, Søren. I'll pass the word to Rainer and I’ll only give you the comfort that we see already a good start of the year on this front loading.
Rainer Lehmann: So, Søren, basically it's exactly how we say. We see good momentum and a strong performance so far coming -- or at the beginning of the year. That coupled also, of course, that investments into the -- what my colleagues just pointed out into our operational capabilities will gradually increase over 2025. That of course leads to a better performance also in profitability. Sales growth we just said that's the momentum -- strong momentum we see overall in January and it's actually across both divisions. So it's really -- as we always are it's across both divisions across all areas.
Operator: The next question comes from the line of Charles Eden from UBS. Please go ahead.
Charles Eden: Hi. Good morning. Thanks for taking my questions. First one for 2025, can you just talk a little bit around your expectations on raw material inflation and how your energy cost bill will evolve I guess as hedge is in place? But how are you expecting that to trend in 2025? And then secondly for the planned exit for some of the legacy Chr. Hansen markets does this have any benefit or headwind for that matter on gross margin or EBITDA margin? And then if I can just sneak in a clarification. Are you planning to report quarterly EBITDA in 2025? I think that was the initial plan following the combination, but I just wondered if that's still the case? Thank you.
Rainer Lehmann: So basically I can take those. So regarding inflation, basically, we expect an improvement in the gross profit as I lined out. That's driven by -- actually continued to be lower input cost also including energy. We see our energy our expectations for energy is actually in 2025 that's a little bit over 5% lower than in 2024. So continued improvement here and also lower input costs basically raw materials will add to a positive development in the gross margin. The other part was regarding quarterly EBITDA. Yes, we are moving in 2025 to quarterly EBIT or quarterly profitability and full financial statements and as you have seen also in this year we actually already provided you the quarterly pro forma 2024 results for the group in this relation.
Ester Baiget: And -- thank you Rainer. And Tina could you build on Søren's question on Household Care and pricing?
Tina Fano: Yes, I can. I can. So Household Care for the year as well as for Q4 has been stronger than the group performance of pricing which were 2%.
Operator: The next question comes from the line of Thomas Lind from Nordea. Please go ahead.
Thomas Lind: Hi. Good morning, everyone. One or two, maybe three questions here all regarding Food & Beverage. Just looking at Q4 and the 6% organic revenue growth down from double-digit in Q2 and Q3 could you please just elaborate on what's driving this? Then the second question you're saying here upselling is driving growth. And maybe if you could also elaborate a little bit on what is the exact upselling here. Is this primarily bioprotection? And what is the penetration rate of bioprotection today? And then finally conversion in cheese here is also driving growth. If you could also help with the conversion levels in cheese and yogurt. Those would be my questions. Thanks.
Ester Baiget: Thank you Thomas. It really sounds like three questions more than two and I will let Jacob to answer them.
Jacob Paulsen: Yes. So the first question is about the quarter result in Q4. So you should really see it as a half year result in line with the overall result of the year. So it's a bit of a timing effect. If we look to the upselling component which is indeed quite powerful last year and we see that continue into 2025 it's a range of bringing new innovations to market. Yes, you're right that bioprotection has been a strong component. We are seeing strong double-digit growth in that area across our Meat activities across our Dairy activities, but it's broader than that. It's also productivity improvements. Many customers really need us to help them optimize their recipes reduce cost of production efficiency in production et cetera. And then it's new innovations we are bringing together with the customers to market. Among the productivity improvements is really also the conversion in cheese where we are seeing a good outcome from many years of hard work convincing them to go with our solutions. And that is also a continued journey we'll be expecting in the future as we are still only at a two-third of the world cheese market on the DVS solutions. So overall a good comfort that the continued momentum of let's say the last half year will continue into 2025 with some of the same good dynamics as you have seen there.
Operator: The next question comes from the line of Sebastian Bray from Berenberg. Please go ahead.
Sebastian Bray: Hello. Good morning. And thank you for taking my question. My first one is on pricing. Are there some segments for which this is expected to be flat or down in 2025? Or would this be universally up across the board? Put another way, which ones will be up most and which ones will be up least in your view? The second question is on energy costs. Are these now hedged and locked in? Or is there any spot exposure left in Europe in the 5% year-on-year decline? And the third question is on CapEx. Do you have any major growth projects aside from general capacity expansions that you would flag at this stage given that the CapEx is a little elevated to where it's been historically? Thank you.
Ester Baiget: Thank you, Sebastian. Pricing is across the board and it is across all segments in an almost generally distributed way. And then I will let Rainer build on energy and CapEx.
Rainer Lehmann: Yes. So regarding energy, and let's call it specific electricity, actually we are hedged 85% into 2025. So for – in Europe and globally that actually translates to around 25%. And regarding CapEx, basically this is really for production capacity, right? We are coming now into a phase, where we really need to put – as I always say put some steel in the ground. That of course is a multiyear CapEx program, which right now we are really investing in upstream and also downstream capacity. So therefore, yes you see that elevated CapEx level but that's absolutely necessary in order to fuel and to support our future growth journey.
Sebastian Bray: Thank you.
Operator: The next question comes from the line of Lars Topholm from Carnegie. Please go ahead.
Lars Topholm: Yes. Thank you. Two quick questions on the outlook. One is on the pending HMO application in China. Is a positive outcome of that included in the outlook? And if it's not can you put some words on, if there would be a meaningful stocking up effect for example if you got that approval? And then the second one Ester in your introduction you mentioned, you were seeing a normalization in the growth of Household Care in 2025. By normalization, does that mean the run rate you expect for 2025 is also the run rate we should assume after that? Thank you.
Ester Baiget: Thank you, Lars. Good question. So it is positive improvements on – or changes on HMO would be an upside. And I will let Amy bring further color on where we stand on this very attractive position for us and the momentum that we see. And then on Household Care, we're seeing normalization after extraordinary year and then we will share more also not only for Household Care but across all segments on the strategic guidance as we – when we speak in August. Amy?
Amy Byrick: Yes sure. So Lars you read it correctly. And as Ester said, we have not included significant sales into China as part of our outlook for 2025. And really the rationale behind that is just to avoid speculating on what is a very rapidly evolving and dynamic regulatory process. So if that were to come in earlier in the year, we would see an upside and we will see that we are actively engaged. And I think the positive behind that is that we continue to be really positive about the market demand, the customer pull for HMOs not only the 2'-FL which is sort of the medium-term outlook but also the five Mix in the longer term, where we also continue to advance through the regulatory process. We've excluded that from the outlook for this year just simply due to the uncertainty of the regulatory time line.
Lars Topholm: Just one tiny household question in addition if I may. It goes to the alternative protein. So if you take into account both the deferred revenue and the actual revenue in Q4, which proportion of Human Health is alternative protein now?
Ester Baiget: I'm not sure we understood what you're saying, Lars. Could you please repeat the question?
Lars Topholm: Yes. So in Human Health, there's a revenue contribution from alternative protein and that's consisting of two revenue streams. One is deferred revenue, which you recognize. It's a small number, I know. But then there's also an actual revenue. So my question is of the total revenue in Human Health, which proportion comes from alternative protein, if you want to tell me?
Ester Baiget: Yes, that's so beautiful the way that you hinder it. So we always share with you proudly and charmingly hopefully also the momentum of what we see. We feel very pleased about the momentum in advanced proteins. Also, we see the positive momentum also in Dietary supplements and being a contributor of growth in 2025. Amy has shared about the potential upside would there be in HMO, with the conversation with the Chinese authorities. And that's the information that we're sharing on how we see the business.
Lars Topholm: Okay. Thanks a lot. Thanks.
Ester Baiget: Next question?
Operator: The next question comes from the line of Alex Sloane from Barclays. Please go ahead.
Alex Sloane: Yes. Hi. Good morning, all. A couple of questions from my side. We've heard some food peers talking a lot more about customer interest in enzymatic solutions to reduce sugar instead of high-intensity sweeteners. Is this something that you're also seeing playing into? Do you think it could accelerate with the new Health Secretary's agenda in the US? That would be the first one. The second one your guidance, you caveat slightly saying it assumes the current levels of tariffs. I appreciate, it's very difficult to predict what will happen on this front, but could you maybe kind of lay out the main risk exposures as you see them for Novonesis on this front? Thanks.
Ester Baiget: Thank you, Sloane. And I will let Jacob put more color on -- yes, the opportunity we see on the pull from consumers not only in North America, but particularly in North America of lower sugar added lower salt healthier nutrients and cleaner label. And that opens a window for accelerating of our penetration of solutions. Regarding tariffs, you describe it beautifully. We're watching of course very closely as events flow. We have shown multiple times the strength of -- the robustness of our portfolio and also the value of the diversification of our global footprint. North America is a strong market for us, also strong from a regional perspective with more than 20 different sites that we're present. And we feel very, very comfortable on our capability to continue to be a partner of growth from our customers and continue to be supporting the opportunities we're seeing in the region. Jacob?
Jacob Paulsen: Yes. So sugar production is definitely a big theme for most producers. We see that in bakery, and we see that in yogurts as two key examples. If you go into yogurt, you can actually keep the good nice flavor of sweetness. But with cultures and enzymes you can reduce the amount of sugar in the recipe quite dramatically and that's why we are seeing a lot of solutions coming out with. In addition, I need to mention the protein trend. Right now, everybody is looking to increase protein in their recipes. And we have had great success last year and a lot of projects in particular in high-protein yogurt drinking yogurts in particular where it's a combination of healthier less sugar, but then it's also higher protein at the right taste profile.
Alex Sloane: Super. Thanks.
Operator: The next question comes from the line of Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi: Yeah. Hi. Good morning. Thanks for taking my question. I was just wanting to talk about the reinvestments that you're talking about. And if my math is correct, I actually see in H2 2024 your underlying OpEx is already up something like high single digit versus H1. But just fundamentally, how should we think about these reinvestments in -- from a mid- to long-term perspective? Are these reinvestments just helping you achieve the growth that you are doing now or will these investments actually help you achieve faster growth than you are doing now? So I'm not looking for any specific number or guidance. I'm just trying to triangulate, whether this is more a defensive investment just to sustain what you have now. Or is it more an offensive investment to accelerate your growth into the future? Thank you.
Ester Baiget: It's a beautiful question. We are a growth company, and we're investing for growth. We're investing for long-term sustainable profitable growth and that investment across all forms. We're investing on people, people in commercial, people in R&D. We continue to invest on productivity on operations too and we also invest on assets and capabilities to support that accelerated growth.
Chetan Udeshi: But you referred to accelerated growth. So, meaning the aim is to do better than what you're doing over time?
Ester Baiget: We said in the strategic period that we were committed to 6% to 8% and accelerated growth. That's what we said. That's the wording that we continue to stay true and then you'll have to wait for August that we come to the updated guidance for the new strategy period.
Chetan Udeshi: That’s clear. Thank you.
Operator: The next question comes from the line of André Thormann, Danske Bank. Please go ahead.
André Thormann: Yes, thanks for taking my question. So the first one just coming back to HMO, because I noticed it's not mentioned in the growth part of Human Health or what you say in the outlook. So, is there a specific reason for that? And shouldn't it grow quite good just on the back of a weak 2024 even without the China effect? That's the first question. The second question is in terms of Household Care. And just to hear if you would comment on current trading for Household Care in 2025 and how confident you are that the really strong growth you have seen in 2024 won't continue to surprise to the upside in 2025. That's my questions.
Ester Baiget: Thank you. Amy and Tina, please?
Amy Byrick: Sure. So on HMO, I mean you're absolutely right that the underlying growth is strong. And if you look at the stacked growth from a very strong 2023, we see strong double-digit growth in HMOs over a 2 to 3-year stacked period. Then the timing of those orders is such that you're right that we don't see HMOs being a meaningful contributor to significant growth in the Human Health space in 2025. Of course, that is excluding any uptick in China. I think the important thing to underlying that and the reason I refer to the stacked growth is that that stacked growth is more representative of what we see in the market and the actual consumption of growth.
Tina Fano: And on Household Care. So what we are sharing is that Planetary Health will be growth-wise aligned to the group and with Agriculture Energy & Tech being growing more than Household Care. But specifically in Household Care, yes, there are upsides. We do also please expect first half to be stronger than second half.
Operator: The next question comes from the line of Georgina Fraser from Goldman Sachs. Please go ahead.
Georgina Fraser: Hi there. Good morning. Thank you for taking my questions. I've got two left around innovation. The first is, I wanted to understand Ester, how you think about your R&D spend. You mentioned in the opening remarks that your prioritization is super important because you have so many opportunities. So when you're looking at your R&D activities, what is the time frame for potential payback that you have in mind? Or do you consider more of a portfolio with lots of different time lines? And then, my second question somewhat related. Could you talk to us about what it is exactly that you're doing on the Danish AI supercomputer? Thank you.
Ester Baiget: Wow, those are good questions, Georgina. And I will let also Claus build up on both of them. Innovation is the driver of whom we are. And we are continuing to invest on innovation across all fronts; innovation on protecting the core, innovation on driving the adjacencies, innovation of co-creating with our customers, innovation on productivity, innovation also on explorative areas. And we look at this from a portfolio investment, risk management portfolio balancing short-term, long-term opportunities and the contribution to the company. We're investing in R&D and we're going to continue to be investing in R&D. AI is also a strong component of whom we are on the way that we design, on the way that we bring to scale, and we have thought of the edge capabilities that feels us very comfortable on not only our current position but also the sustainability of what we have in place. Claus?
Claus Crone Fuglsang: Yes. Thank you, Ester. You explained it very nicely. We do run a portfolio of plus 200 different programs. Some of them actually have payback time shorter than one year. So some of it materializes -- what we do in R&D materializes in a year. Amy spoke to some of that the customization of products that exist for sales here now. We have optimization that pays back already this year contributing to bottom line. And then, of course, we have a portfolio ranging for a few years and into longer time lines when it comes to BioAg and animal and more complicated health programs. So it's really a diverse portfolio with different time lines and risks and that's what we of course manage to the best that we can. It does have to pay back. Investing in R&D in Novonesis is a good revenue generator and a good return on investment. I'll guarantee you that. On AI, the supercomputer is actually a sponsored supercomputer from the Novo Nordisk Foundation. As such we don't have special rights to use that supercomputer. But we do collaborate with other collaborators on looking on for example structure prediction and de novo design of enzymes and so on and so forth. So what we do on AI, we actually have our own supercomputer. We have our own a GPU set up here in our facilities where we can run internal programs as Ester alluded to. This goes into our discovery. So the ability to design even you could say from a very low homology enzymes new functionalities, and so on and so forth. So we run, you would say behind the scenes our own supercomputers. And then the very large GPU from NVIDIA is managed by the Novo Nordisk Foundation.
Ester Baiget: Excellent. It's always comforting to hear CSO speak as a CFO and talk about return on investments and the beautiful contribution that R&D brings to this company. There's no more questions in the line I see. And with that we consider this call closed. Thank you very much for your time. Looking forward for continued conversations with many of you in the next coming days. Thank you. Bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in a conference. You may now disconnect your lines. Good bye.